Operator: Good afternoon. And welcome to the Oculus Innovative Sciences Fiscal Third Quarter 2014 Conference Call. My name is Karen, and I will be your coordinator for today's conference. At this time all participants are in listen-only mode. At the end of the call we will be holding a question-and-answer session with company management. (Operator Instructions) As a reminder, this conference call is being recorded for replaying purposes. I’ll now turn the call over to Mr. Dan McFadden. Please proceed, sir.
Dan McFadden: Thank you, Karen. Good afternoon. I want to thank all of you for joining us today. With me on the call will be our CEO, Jim Schutz; and our CFO/COO, Bob Miller. We will open the call with Bob Miller's review of our financial results for the quarter, followed by Jim Schutz update on current activities, as well as our business strategy and plan moving forward. This afternoon Oculus issued a press release detailing fiscal third quarter 2014 financial results and recent corporate developments. The copy of the release can be downloaded from our website which is oculusis.com, that's O-C-U-L-U-S-I-S dot com or you can call Investor Relations at 425-753-2105 and we’ll be happy to assist you. Before we begin, I remind listeners that this conference call does contain forward-looking statements within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are identified by use of words such as expect, to expand, would and anticipate among others. These forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially, including risk inherent in the development and commercialization of potential products; the risk that potential clinical studies or trials will not proceed as anticipated or may not be successful or sufficient to meet regulatory approvals or receive the regulatory clearance or approvals; the company's future capital needs and its ability to obtain additional funding; and other risks detailed from time to time in the company's filings with the Securities and Exchange Commission included in the quarterly report on Form 10-Q and the annual report on Form 10-K. Identified product applications and/or uses are intended to highlight potential applications for the investment community and does not infer that the company is marketing for these indications. The company does not provide any assurances that such applications will receive regulatory approvals. Oculus disclaims any obligation to update these forward-looking statements. So, with that, I will now turn the call over to Jim Schutz, our CEO. Thanks.
Jim Schutz: Thanks, Dan, and thank you all for joining us today. On today’s call our CFO, Bob Miller will jump right into the numbers describing our quarterly results and as well giving guidance for the upcoming quarter. Following, Bob, I'll spend just a few minutes on an update on the activity during this past quarter and then a look ahead with our 12-month growth plan and then we’ll open up the call for questions from investors. Bob?
Bob Miller: Thank you, Jim. First, I will indicate how we did in our guidance for the third quarter ending December 31, 2013. Secondly, provide the guidance for the fourth quarter ending March 31. And lastly, we'll summarize our financial results for the third quarter. How did we do on our financial guidance for the quarter ending December 31, 2013? We provided guidance for total revenue of in the range of $3 million and achieved $3.4 million and achieved $3.3 million. We provided guidance of the $3 million range for cash operating expenses and spent $3.2 million. We provided guidance of in the range of $800,000 negative EBITDAS and had a $1 million negative due to slightly lower than expected revenue and higher than expected cash operating expenses. What is our guidance for the quarter ending March 31, 2014? For the quarter ending March, we expect total revenue to be in the range of $3.2 million, cash operating expenses in the $2.9 million range and EBITDAS to be in the range of $900,000 negative. This guidance includes the recently announced total quarterly budget of $760,000 for the Ruthigen IPO, which includes about $400,000 worth of new expenses and about $360,000 of Ruthigen payables, which is already been expensed or not paid. All these expenses will be repaid by Ruthigen at the time of the IPO if and when they exited their IPO. Our major initiative for fiscal year 2013 is to restore our revenue growth rate by launching new products. What are some of the key product launches, which can positively affect this growth? One, More Pharma will be launching new products in the oral/dental and scar markets, and expanding into additional Latin American countries over the next six months. Revenue for Mexico represents 40% of the total product revenue for the year-to-date. On average over the next several quarters, we expect Mexico revenue to grow in the range of 13% compared to the same period last year. Number two, here are some over-the-counter human care wound care products are currently being sold in most Walgreens stores. The success in sale-through this launch is in the process of being valuated. We will report on it in next quarter’s earnings call. Revenue from Innovacyn represents 26% of our product revenue in year-to-date. We will increase competition in animal healthcare and unknown cells in human over-the-counter, we are projecting revenue growth from Innovacyn over the next several quarters to be flat to down compared to last year. Number three, in the U.S. dermatology and wound care markets. Our U.S. dermatology partner, Quinnova, will be launching two new products in the middle of 2014, one of which is the scar management product. In U.S. wound care markets we have transferred the wound care sales on our acute care partner Eloquest to our 15% sales force which is now relaunching wound care products including an innovative (inaudible) spray which Jim will talk about later on, with a focus on U.S. wound care centers and hospitals. Revenue from the dermatology and wound care in United States represented 18% of our total product revenue for year-to-date. Number four, in Europe, we received additional CE marked approvals for one mild to moderate acne, two, a wide range of oral/dental applications including the mouthrinse and three, a variety of prescriptions SKUs for advanced wound care Microcyn solution and the HydroGel. We will be launching the new EU advanced wound care products through our 10 wound care distributors in Europe starting in the quarter ending June 2014 and launching into the oral and dental markets through a network of distributors later on in fiscal year 2015. We are launching into dermatology for acne, atopic dermatitis, scar and dermal procedures. We are seeking an established European dermatology partner. International revenue excluding Mexico represents 15% of our total product revenue per year-to-date. We expect our international revenue excluding Mexico to grow in the 20% plus range over the next several quarters. In total, we had six or more new product launches planned in fiscal year 2015 which we clearly will restore our produce revenue growth for this coming fiscal year. Moving now to the results of our third fiscal quarter ending December 31, 2013, product revenues were down 8% compared to the same quarter last year with increases in U.S. Mexico and China, partially offset by revenue growth in Europe, Middle East and Singapore, the decline in the quarterly revenue compared to last year was primarily the result of three factors. The decline in one, the animal health care business due to impacted seasonality and increased competition; two, dermatology sales due to discontinuance in one of our U.S. dermal partners Onset Pharmaceuticals; and three, More Pharma sales due to the filling of the pipeline last year as the product was launched and deferred sales made by Oculus prior to More Pharma transaction, which we’ll collect and recognized during December quarter last year. Product revenue in the United States was down 19% compared to the same period last year with lower sales in animal healthcare and dermatology partially offset by higher sales in wound care and human over-the-counter products. We reported revenue in the amounts of $652,000 and $883,000 from Innovacyn for the quarter’s ending December 2013 and 2012 respectively. Revenue in Mexico decreased $119,000, or 9% compared to the same period last year as a result of the lower hydrogel sales and higher sales last year derived from building a pipeline by More Pharma and from 133,000 deferred sales from Oculus which were collected and recognized in December quarter last year. Revenue in Europe and Rest of World increased $163,000, or 47%, as compared to the same period last year, with increases in Europe, Middle East and Singapore, partially offset by a decrease in China. Our gross profit -- our gross product profitability was 67% of product revenues, down from 72% from the same period last year, due to the declines in margins in Mexico and partially offset by higher gross margins in Europe. Operating expenses minus non-cash expenses during the third quarter were $3.2 million, up $507,000 when compared to $2.7 million for the same period last year, due to higher Ruthigen expenses of $658,000, partially offset by lower other SG&A expenses in the U.S. EBITDAS for the quarter ending December 31 was negative $105 million, including $658,000 of expenses as I mentioned early related to Ruthigen. During the quarter ending December 31, 2013, our lenders, Western Technology Inc. sold 617,000 packet of shares, which they owned as an offset to our debt with gross proceeds greater than $3 million. As agreed to, WTI use these proceeds to pay out our entire $3 million debt-related liability rendering Oculus nearly debt free with $250,000 of debt remaining. As a lead-in to Jim, since January of last year, Oculus has spent a significant amount of time and money working on documents and activities relating to the Ruthigen IPO. We believe that Ruthigen IPO, if and when it occurs, even though smaller in size when originally contemplated will still have a significant positive impact on the value of Oculus, as we will be major shareholders in Ruthigen. An additional cash benefit to Oculus as a result of the Ruthigen IPO is one, repayment of about $1.5 million at the time of the IPO, if and when the IPO occurs and two, $8 million in milestone payments. With that final comment, I will turn it back over to Jim.
Jim Schutz: Thank you, Bob. I'd like to cover two topics today before we open the call for Q&A. First a quick look back at our business during the quarter ending December 31st, and then second, look ahead in our 12-month plan for growth. So first the Middle East during the past quarter, team had a productive quarter, achieving several positive milestones that Bob mentioned but I’ll cover just a handful that we think prepares well for our future. On December 4, 2013, we announced our strong management FDA approval based upon solid clinical studies with good results. It’s a nice win for our R&D and regulatory team and it’s a really interesting product as patient weren’t speaking and a big market that Life Science reporter calculates as representing an estimated $2 billion plus as a market opportunity globally. Also in December, as Bob mentioned -- the Bob and finance team pay off our $3 million in debt related liability which was a terrific win and greatly improves our financial health. Because of our cash lack of debt and increased net worth based upon the December financing, we gained compliance with NASDAQ listing rules which again points to our financial health. Our team in Mexico also received an approval for the scar management product using our [USRCA] in clinicals. And our Latin America partner, that is conducting a second similar study comparing our Microcyn-based scar product to a popular topical product sold only at Mexico. That topical product that we’ll do the head-to-head study against, owned 36% of the Mexican’s scar market with annual sales of approximately US$6.7 million. More Pharma, our partner, that is targeting a launch of this new scar product in mid summer 2014. Our U.S. dermatology partner, Quinnova, was acquired during the quarter by a very interesting midsize trade based pharma company by the name of Chemo Group. And it’s interesting for us -- could be interesting for us on both side (inaudible) especially given our January acne news and approval in Europe. We’ll stay tuned to more here soon. One final win during the quarter have been shared but did not beat the drums wildly. Several years ago, our Director of Microbiology and Immunology had a family number in the skilled nursing facility in the Seattle area. As a result, she spend quite a bit of time with the nursing staff and the staff advised her that they loved her Microcyn hydrogel and used it using the following routine, (inaudible) that use a cotton substrate or a tongue depressor and then apply to the patient’s skin. The staff asked for a no-touch spray gel that they thought could improve infection control procedures. So our R&D team also in Seattle started tinkering with varicella and as they described it made far too many gels, which initially caught, didn’t spray or over too clumpy and the like. We finally nailed the formulation and we just launched this innovative new spray Hydrogel in December. Our sales team is excited about this new product, has already registered them and we think a very solid brand point to our physician base in terms of differentiating Microcyn from other Hydrogels in the market. For those of you familiar with the skilled nursing facility market, you can probably guess additional product line extensions that we are going after to improve patient outcomes, reduced infections and reduced nursing time. Switching gears, let’s look out a bit. We have a solid handbrake team in place running all key functions here at Oculus, from sales and marketing to R&D, to finance, regulatory, quality and operations. We look financially healthy for the first time in the company’s history. We sell a 100 plus SKUs in 30 plus countries. To our sponsors, what do we need to do reignite our revenue growth? Since I took over as the CEO a year ago this month in February, our business strategy has been articulated in six simple words that we repeat everyday, every weekend, every meeting, every email that we can. Those six words are as follows. New products, new people, new territories. Bob and I believe we can reignite our quarter-over-quarter, year-over-year revenue growth by following this blue print or growth using those six simple words. So, a little bit deeper dive and we will start with new products. As Bob mentioned in the dermatology space, we took our U.S. dossier of clinical trial and FDA approval for our strong management product in Mexico and received the same approval there. We also filed that same dossier for the scar management approval -- scar management product in Europe, with an expected approval mid year this year. We took our U.S. U.S. dossier of clinical trial and FDA approval for our atopic dermatitis product to Europe and expect an approval midyear. We received a recent approval from mild to moderate acne, being a CE Mark in Europe. So in Europe, we have two derm approvals in hand and expect two more mid year, excited about the dermatology market. Switching gears, new products in the oral space, we are excited to announce for the first time today that we received our first oral care product approval in Mexico for a book of (inaudible) product. I love saying the word. Bob really asked me what it means. It’s to treat oral and throat infections. Our Latin American partners turning their launch of this new product in the quarter beginning April 1st 2014. But stay tune as we intend to issue a press release with more information on this recent approval. Also in the oral care space as Bob mentioned, we recently received the CE Mark for a new product to reduce microbial load for wound, cuts and abrasions in the oral cavity. We also hope to add additional products in Europe to this oral care line, and look to create a network of distributors to sell those products in the not too distant future. Last oral care product update in U.S., we will submit our oral mucositis product candidate with the FDA some time in this calendar year. Sticking with new products, let’s focus on the acute product wound care space. Our U.S. sales team, the fix team is now selling our various SKUs to hospitals, outpatient surgery centers, wound care clinics, skilled nursing facilities and pediatrics. In the European Union, our 10 existing distributors are enthusiastic about selling our gel products for the very first time since we just got approval on our Hydrogel there and various new smaller SKUs, also now available for the first-time care. We have a handful of additional products in the pipeline but will discuss and update you on a later date. We are not sure when our R&D team has had time to sleep, but they are doing a terrific job to fund these two targets. So back to the blue print for our next-12 months and our plan for growth, having detailed new products we like to move to new people, which we also define as new people and partners. As we said, we launched our own 15% inside, outside sales force in July of 2013. We like what we see so far in the first six months with several nice wins with key distributors brought on board to (inaudible) to cash in and (inaudible) makes it easier for our physician customer base to work. And the sales team is energized by two new products, a two round spray and the three hydrogel gel spray that I referenced before. And we are also looking forward to a handful of new products that we added to their bag this coming year. As Bob mentioned new partners in Europe, stay tune for European dermatology news and both side of the Atlantic, U.S. and European oral care opportunities. The third part of our 12-month blue print for growth is new territories. We’ve also brought on new partners in multiple international markets and in doing so have expanded from 20 countries a year ago to 31 today and targeting 35 by year end. So new products, new people, new territories. Our team would tell you that they can recite it in their sleep as Bob and I like to repeat it. Both Bob and I actually like that in our position and that simple focus. This is how we are going to grow. We are convinced in the next 12 months. So in summary, Bob made a deep dive on our numbers. We covered the Q from a business perspective and spend a few minutes looking ahead of our 12-month blue print. So now we will be glad to ask the operator to open up the call for questions.
Operator: (Operator Instructions) And our first question comes from the line of Chuck Lipson from CSL Associates.
Chuck Lipson: Hi, there. Regarding Ruthigen, I guess it was about a year ago that we announced, that we were separating two companies and I guess now you probably said it. Will this be the last quarter of expenses associated with Ruthigen so that we can expect either an IPO by the end of this quarter or if not then what happens?
Jim Schutz: Great question, Chuck. We filed an 8-K on February 6th this year and in the 8-K, we attach those documents and provided summaries. But in essence, we completed all necessary agreements with Ruthigen, necessary to continue the IPO process exactly as you said. It’s happening on or before March, one way or another there either going to be IPO process or as we described in the 8-K the funding stops.
Chuck Lipson: And then but you are going to have this asset that suddenly is just on hold, is that what you seek to license it to somebody else or it’s suddenly -- it’s either all or nothing it sounds like?
Jim Schutz: Well, the base technology is fascinating new technology and differentiated from what we are focusing on. So having spent a lot of money on developing the intellectual property this new technology, this new version [of course] asset, we’re not going to just have it sit on the shelf. So just as you said should the IPO not occur in the quarter ending March 31, 2014, we do have plans B, C, D, E, E, F, G and looking at how to monetize and move forward that fascinating new technology.
Chuck Lipson: Okay. And then also regarding more on Mexico sometime around August to September we had lapped the pricing to them. So I had expected that more sales would start reflecting the increased volume at that same price. Maybe you can, when is we’re still growing volume wise or it seems to slow down, what’s happening there?
Jim Schutz: Yeah, they did, as you pointed out, they have and as I recall in the December quarter of last year they had a very, very large unit volume growth that occurred over what we had done I think in the prior year and that unit volume growth was -- had a couple of factors in it which you mentioned in the press release. One of which they were in effect selling their pipeline still and secondly we had sales that we recognized part of our distributor sales in Mexico before More Pharma on a question basis or sales to directly the hospitals versus the pharmacy. And so we had $133,000 worth of sales that occurred in the December quarter last year. So that actually increased the size of the revenue that we are comparing to this year, but yes, you are correct that we should be comparing more apples-to-apples starting in March on a growth rate. And as I pointed out we believe that we think that they will grow on average over the next several quarters at 15% rate.
Chuck Lipson: 15%. Is that including new products or is that…?
Jim Schutz: That’s a general growth, rate including new products, yes.
Chuck Lipson: Okay. So that does show some slowdown with more on the older products?
Jim Schutz: Well, some of that it shows a little bit of slowdown, but at the same time we are trying to give you a guideline that we think is reasonable.
Chuck Lipson: Okay. And the last question I have is, we have so many products coming out that sound like they are addressing markets of tens and hundreds of millions of dollars, yet we seem to be waiting for our European distributors till June to start selling. Am I getting overly enthusiastic about these products but don’t seem to be representing a large pickup in sales that I would have expected? What’s the holdup, scars, wounds? I mean, these are big markets ACNE. Maybe you could give me a little color on why we have to wait till June with this distributor in Europe to start selling?
Jim Schutz: Got you. I can answer first, Bob why don’t you answer second half. We are excited by the scar product both in the U.S. and New Mexico, but we don’t yet have a European approval. So if I was tongue tight earlier and suggested that we have European approval for scar product, we did not have. In the U.S., our U.S. dermatology partner in Philadelphia Quinnova has a planned launch in the June timeframe. Their timeline has one of the challenges associated with partnering rather than selling us directly ourselves. In Mexico, interestingly and coincidently, our partner there is also targeting scar product launch in June/July timeframe. With the additional information that they are doing a head-to-head study, most likely did in the U.S. to confirm safety and efficacy against the number one product in Mexico. That’s not a big product here in U.S. So although our clinical trial conducted in the U.S. to show safety and efficacy for scar product management was helpful, they want go ahead against the market. Is that specific to the scar product?
Chuck Lipson: Yeah, it does. I would just like to see it in the sales numbers at some point sooner than later.
Jim Schutz: Yeah, us too. And that in-patient is felt and cheered also. Bob I know there was the second half to that question?
Bob Miller: I also say that for us and just as getting our guidance, it’s really difficult to forecast exactly what the ramp up is going to be, it’s probably easier for us to do that like Quinnova there is ramp ups they done in the past and now they have more sales people. So we did expect to see a fairly quick uptake on the scar product from Quinnova. Obviously Mexico is a smaller market than the U.S., so that’s going to be a smaller number especially given the size of our business down there. In Europe we really need to find a partner over there for a lot of organic products as Jim mentioned and partnering finding the partner they would then lead to the ramp is usually a longer drawn out process. So that’s why we hesitate to put a bunch of numbers into the ramps if you will.
Chuck Lipson: I will get back in queue.
Jim Schutz: Okay, thanks.
Operator: Thank you. And our next question comes from the line of Jack Wallace from Sidoti & Company.
Jack Wallace: Good morning, Jim and Bob how are you? Or good afternoon, how are you guys?
Jim Schutz: We are doing good, Jack. Thank you.
Jack Wallace: I just want to follow up on the Mexico question. If you were to compare this quarter apples-to-apples to strip out some of the pieces of the figures there from last quarter that you are making it a little bit difficult to just look at the numbers straight on, how you were doing there year-over-year from the demand standpoint if we separate that out?
Jim Schutz: Year over year it’s pretty strong. If you separate it out, in fact More Pharma is contending that they were clearly double-digit growth over the year on a year-to-year basis. So now the other thing that affected the quarter in More Pharma and we know that Mexico although that this happens every year tends to shutdown in the last two weeks of December. In fact More Pharma is turned down the lights off it’s now that is fairly common in Mexico. We generally tend to have seasonality to that in Mexico. We didn’t see it the prior year because they were still in the pipeline. So it’s difficult we think to make any kind of influences from the quarter-to-quarter versus the year-to-date.
Jack Wallace: Yes. Thanks. That was helpful. And then why don’t you give me a little bit more color on the progress with the selling in the Walgreens, any more you can give me on that?
Jim Schutz: It’s -- the jury still out on that. We are -- they are still stocking it. They are still selling it. We don’t have a good -- a lot of good feedback on the exactly how they are doing and restocking at this point and that’s why we are sort of begging off till next quarter we will provide that to you.
Jack Wallace: Okay. And what are the, I guess, the -- what’s the situation you are looking into partner in the EU for your derm opportunities? Is this something that we can expect to hear some more, I guess, tangible, I guess, comings and goings there in the next couple of quarters or just we are going to wait till end of the next year. How do we think about hearing something about in EU partnership?
Bob Miller: Well, it certainly helps to have two of the approvals in hand speaking personally with a long a history of partnering. So that helps and then we got two more in the queue. So two in hand are both acne liquid and gel and the two in the queue are atopic dermatitis and the scar management product. Two in two gives us an interesting half of the bag, quarter of bag for larger European derm company. I won’t tell you this and this is not a hand, this is not intended to be connecting the dot, but the new owner of Quinnova certainly treats us. Besides you can look them on the web to see how big they are, they are private, but they clearly are interesting in the U.S. dermatology space and we think that that could be very interesting for us to proceed. That having been said, let me answer you a good short question on timeframe. We would like to do it when the time is right, when the deal terms are right. We are not going to pull the trigger just to do something quick, if that answers your questions, Scott?
Jack Wallace: Yes. Thanks and then lastly here with the, if the new product launched outside of Mexico and both inside of the Mexico, actually that matter, are we getting the same transfer rate, the same kick back that we were under normal terms?
Jim Schutz: In Mexico, you are saying?
Jack Wallace: Mexico and then elsewhere with some of the new product approvals.
Bob Miller: If we can unless use transfer price that kick back (inaudible).
Jack Wallace: Sure. Yes. Excuse me.
Bob Miller: (Inaudible)
Jim Schutz: So, actually, there is a part of the agreement Mexico that we get a increase in the price that every year actually based on the increase, the inflation now in Mexico actually I think popped up maybe almost 4%, 3.8% or something. So we will automatically get that increase that improves our pricing down there. In terms of the scar products down there, that’s something that…
Bob Miller: I can help to answer it.
Jim Schutz: Yes.
Bob Miller: If the method of manufacturing and packaging is similar then, yes, it typically does follow the same transfer and pricing schedule in existence now. The scar product has a couple of additional steps in the method of manufacturing and the packaging is significantly different. So we are negotiating different pricing there. But you can live with the rule of thumb that, if it’s something similar to what we are currently selling assume similar transfer prices.
Jack Wallace: Okay. Thanks. One more question here, looking at the book value with $3.4 million now and we know we need $2.5 million to maintain NASDAQ listing. Looking at the guidance, looking at minus $900k EBITDA, so we are going to get closer to that $2.5 million the book value again, what’s the plan to make sure we maintain the NASDAQ listing requirements if the risk-in deal does not go down?
Jim Schutz: Yeah. Obviously, the first choice of the plan is to have the Ruthigen deal occur and you are right, if doesn’t then, we may have to supplement it with the funding.
Jack Wallace: Is there a situation here where you might rush into an EU partnership agreement that would be something similar to what you have done in Mexico, whether it would be an upfront payment, et cetera?
Bob Miller: That’s possible, yes. And I think that we have got enough as Jim pointed out, we got four products that would be attractive to a large derm company and would merit some upfront money, at the same time given the partnering process, it generally takes a fair amount of time.
Jack Wallace: Got it. And then just tying this back into the guidance, it looks that you are going to start getting new product launches starting in Q1 fiscal ’15, is that correct and last quarter of fiscal ’14, which we are entering in now seems to be at least bottom in terms of year-over-year revenue out performance, is that a fair assumption?
Bob Miller: We actually have one of the product launches taking place right now with their own sales force, taking back the product from southwest. And as Jim pointed out, the oral product launch in Mexico is starting this quarter coming up in April, so that’s pretty quick. The scar in the United States is more like the middle of the year, fiscal year, summer I think instead. So we have a lot of -- we think that a lot of these product launches will have an impact on fiscal year ’15.
Jack Wallace: Is the cash flow breakeven revenue figure still about $3.5 million per quarter?
Bob Miller: I think it’s a little -- our cash operating expenses, we have indicated to be about $2.5 million. We will continue to provide that as guidance generally and our operating margins and gross profitability would probably be 69%, probably a pretty good number. But 68%, 69%, so yes, it would probably be a little bit higher than $3.5 million.
Jack Wallace: Okay. Thanks.
Bob Miller: I think we have said $3.5 million to $4 million.
Jack Wallace: Okay. Thanks. That’s will be all for me.
Bob Miller: Excellent.
Operator: Thank you. And our next question comes from the line of Dan Trang from Stonegate Securities.
Dan Trang: Yes. Following-up on some of the color you provided about Walgreens, are there any other retailers that you are exploring right now?
Jim Schutz: Our partner there in Innovacyn is a privately held company and they ask us to see two certain things in confidence. So there is some we can’t share, some we can share, Dan. What they shared with us and I think we’ve shared publicly is should we see success with Walgreens. There are other brick-and-mortar stores that we would like to pursue, that we could pursue. But as Bob said, we’re in the wait-and-see mark with Walgreens to see how the reordering process going. So, sorry to be up to us for not answer the question. We like to respect the confidentiality of your question partner.
Dan Trang: Okay, regarding the partner, you’re looking for in Europe for your dermal products, I’m kind of wondering if you could provide some color behind some of the criterion you are looking at as far as choosing a partner?
Jim Schutz: Great question, if we were -- since we’re U.S. centric, it seems Valeant has bought just about everything of decent size in the dermal space in the U.S. They’ve been recently active overseas also. So I think they’re sure and unsure targets but they are all a handful of the established European dermal companies that do intrigue us criteria to enter, pricing would be expertise, wound bag, positioning of the product, we would hope to be way up in food chain in their bag. And then deal terms associated with royalties upfront in potential prices. So no rabbit out of the hat, that kind of basic blocking and tackling. But I will tell you at the risk of reputation, the permitting processes is currently benefited by having two products in hand and two additional on the queue.
Dan Trang: Okay, thank you.
Jim Schutz: Thanks Dan.
Operator: Thank you. (Operator Instructions) And our next question comes from the line of Bob Robbins from Robbins Capital Management.
Bob Robbins: Hello gentlemen. I would like to ask you going half way around the world, India, I recall, you mentioned that Microcyn is approved as a drug in India. And you’ve been there for a while, is that recall and there would seem to be this many people who could afford Microcyn and Carrasyn and whatever in India. Vetericyn and whatever as they are in Mexico. Why are we not getting revenues to take of in India?
Jim Schutz: I think one of the -- they’ve been selling primarily the liquids only down there and it's been lock head labs. They’ve been selling it right for three four years. We sell it to them in block. If the pricing is fairly low to the retailer and it probably needs to be in India. We do have (inaudible) to get a dermatology approval, I think in India, in which case again we would probably want to find a different partner. The dermal, I mean, perhaps the dermal partner that we find in Europe would be more than international worldwide. Dermal partner too perhaps cover India and some of the other countries we’re involved in or not involved in. So you are correct. We are fairly widely distributed in India with outcome at this point in time. But one of the reasons that sales is fairly lowest because we sell it to them in bulk. We don’t sell -- we don’t bottle and label. We ship it to in large containers and they pay for those large containers. Therefore the revenues much less what is in Mexico for instance.
Bob Robbins: Thank you. One more follow-up on Mexico, you mentioned that you have a new approval on oral and wrote application. That sounds awfully close to pursuing the common cold and is that application including nasal as well as oral?
Jim Schutz: You’re asking good questions. I'm glad you asked me this because we’re excited about those new product. So bear with me for a second, Bob. The partner, More Pharma, there sold a product that’s an older Vetericyn product called Ilosone is the brand and its in liquid and capsule form. Long-term antibiotic typically prescribed to adult and children, one of the big targets for them is strep growth but interesting to us to have been a liquid product for oral and throat infection. We are anticipating some very interesting opportunities in the back of the mouth, out of the throat in combination with more former current product line. As because I know you do a lot homework, take a moment to go on the More Pharma site, they have do have an English version. You can see how they’re branding and selling Ilosone and some of their drug products. But we think, the first oral care approvals for us in Mexico could be something interesting. It’s not just an over-the-counter mouthwash. This could be a high-price, high-margin interesting new product for us.
Bob Robbins: Okay, thank you.
Operator: Thank you. And our next question comes from the line of George Dahl from Newport.
Jim Schutz: Hey George.
George Dahl: How are you?
Jim Schutz: Doing good, doing good.
George Dahl: Good. What happened with Vetericyn that you said the sales went down?
Jim Schutz: Well, the reason, there were the two things that affected the sales of Vetericyn. And actually we combined the Vetericyn in over-the-counter into one number. But the reason for Vetericyn is one just a seasonality, the seasonality and I hate to use the word weather but I mean, you talk to anybody even, Karen, who is our moderator today sitting in DC with 8 inches of snow. And yes, they had storms last year. But the seasonality makes it very difficult to compare quarter-to-quarter with finding in the Vetericyn businesses. The strength of our Vetericyn business is actually in the horse area and the farm area, both of which are affected lot by the weather. The second reason is the competition. We’re finding that according to Innovacyn, there is a lot of competition of other products. There are some HLCL type products that are starting to come to compete against this. But there is also an off lot of just regular wound care products that have come on the market to in effect compete with Vetericyn. George, both those factors.
George Dahl: All right. Thank you very much.
Jim Schutz: Yeah. You’re welcome George.
Operator: Thank you. And that concludes our question-and-answer session for today. I would like to turn the conference back over to management for any concluding remarks.
Jim Schutz: Thank you again for joining us. Look forward to continued news releases in our next call. Thanks everyone.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program and you may now disconnect. Everyone have a good day.